Operator: Good day, ladies and gentlemen, and welcome to the Enphase Energy’s First Quarter 2013 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we’ll have a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, today's conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. David Niederman. Sir, you may begin.
David Niederman: Good afternoon and thank you for joining us on today's conference call to discuss Enphase Energy's fiscal first quarter 2013 results. This call is also being broadcast live over the web and can be accessed in the Investor Relations section of Enphase Energy's website at www.enphaseenergy.com. With me on today's call are Paul Nahi, Enphase Energy's Chief Executive Officer and Kris Sennesael, Chief Financial Officer. After the market closed today, Enphase issued a press release announcing the results for its fiscal first quarter ended March 31, 2013. If you would like a copy of the release, you can access it online at the company's website. During the course of this conference call, Enphase’s management will make forward-looking statements, including but not limited to statements related to Enphase Energy's financial performance, market demands for its microinverters, advantages of its technology, market trends and future financial performance. These forward-looking statements are based on the company's current expectations and inherently involve significant risks and uncertainties. Enphase Energy's actual results and the timing of events could differ materially from those anticipated in such forward-looking statements as a result of these risks and uncertainties. Factors that could cause results to be different from these statements include factors that company describes in this press release of today, especially under the section entitled Forward-Looking Statements as well as those detailed in the section entitled Risk Factors of the company's reports on its Form 10-K for the year ended December 31, 2012. Copies of these documents may be obtained from the SEC or by visiting the Investor Relations section of our website. Enphase Energy cautions you not to place undue reliance on forward-looking statements and undertakes no duty or obligation to update any forward-looking statements as a result of new information, future events, or changes in its expectations. Please note that the financial measures we use on this call are expressed on a non-GAAP basis unless otherwise noted, and have been adjusted to exclude certain charges. We’ve provided reconciliation of these non-GAAP financial measures to GAAP financial measures in our earnings release posted today which can also be found in the Investor Relations section of our website. Now, I would like to introduce Paul Nahi, Chief Executive Officer of Enphase Energy. Paul?
Paul Nahi: Thanks David, and welcome to everyone joining us for our first quarter 2013 earnings call. I am going to start with an overview of our Q1 performance and provide some industry commentary. Kris will take us through the financials and next quarter guidance and then we will go to Q&A. Looking at the financial results for the first quarter which is a typically seasonally soft quarter, Enphase executed well with healthy revenue growth and gross margin expansion on a year-over-year basis. We also continue to demonstrate financial discipline by keeping operating expenses flat on a sequential basis. First quarter revenue came in at the upper end of our guidance at $45.6 million. This is an increase of 7% compared to first quarter of 2012, but keep in mind, that during that quarter, we benefited from the expiring 1603 tax grant program which clouds the year-over-year comparison. In the first quarter of 2012, we recorded approximately $900 million or revenue associated with 1603 purchases. Excluding this, our year-over-year topline growth is actually 36%. Gross margin for the first quarter was 27% which is also inline with guidance and up significantly on a year-over-year basis. Over the past three years, we demonstrated consistent gross margin expansion from roughly 8% in the first quarter of 2010 to current levels which are approaching 30%. As a reminder, we’ve stated previously that there are multiple factors which impact gross margin and the expansion will not necessary be linear on a quarter-to-quarter basis, but should continue to trend upward overtime. Our operating expense for the first quarter of 2013 was $20.4 million, the same level as the fourth quarter of 2012. For the balance of the year, we will continue to maintain operating expenses as flat as possible while at the same time ensuring we make appropriate investments to fuel growth. This is key as we continue our paths of profitability and sustainable positive cash flows. So looking at the first quarter from a financial performance standpoint, it was a very good start to 2013. Now let’s spend a few minutes discussing the current industry dynamics and their impact on Enphase. The global demand for solar continues to grow. In 2012, 30 gigawatts were installed worldwide up approximately 10% from 2011. The industry continues to benefit from a decrease in module prices. The excess capacity in the industry has resulted in module prices declining from approximately $3 per watt only a couple of years ago to around $0.75 per watt today. Currently, we are seeing pricing stabilize as the module industry consolidates. From market perspective, industry analysts expect the global PV market to grow to approximately 33 gigawatts in 2013 with strong growth in the United States, Japan, Latin America, the Middle East and Africa; partially offset by declining markets in Germany and Italy. So let’s turn for a moment to our activities in Europe. Our initial investments have enabled us to establish (inaudible) heads in France, Italy and the UK to serve those markets. To more fully leverage these investments and pursue broader market opportunities, we have realigned our European organizations under a single Managing Director to pull over the execution and expansion that will better utilize existing resources and relationships, in this way we can increase our market presence in Europe in an efficient and scalable way by leveraging existing partnerships as well as establishing new local ones. As an example, in March, we announced that we began shipping in Switzerland through existing strategic partnerships with large PV suppliers; while we’re encouraged by our progress in the European region, we anticipate the solar markets there will continue to face headwinds for the balance of 2013 as their economies recover and they transition to a lower fit environment. Emerging markets such as Asia Pacific, Latin America and the Middle East are coming up as well. These unfolding opportunities will help stabilize the global solar industry. To grow organically companies must win share in new markets which in our opinion will require being nimble, selecting the appropriate timing to enter into the right markets, offering global products and having cost effective market entry strategies that serve these new customers. To close on my 2013 industry overview, we are looking forward to an exciting year with lots of opportunities and challenges in our core markets in U.S. and other countries. Enphase will be dedicated to further strengthening our industry leading position. This is an exciting time in the solar industry and as always we are ready to seize the challenge. We will continue to focus on and execute the key initiatives we believe are critical to our success which include providing superior microinverter systems and services, reducing product and to some cost to the customer while increasing gross margins through a semiconductor based business model; growing market share in our core markets, seizing out new market opportunities and expanding our geographic footprint and continuing to tread our path of profitability and sustainable positive cash flows. These are milestones you can use to engage our performance and progress and we will be talking about them regularly. Looking further ahead, we progressed in 2013 with optimism and are extremely bullish on the future of the solar industry. Inexpensive modules and new strategies that lower customer acquisition costs are creating a foundation for explosive growth as the cost of solar continues to decrease. New financing vehicles are taking solar mainstream and have made the choice to install solar are motivated by economic considerations rather than just environmental responsibility. These factors have contributed to making solar PV the fast as growing technology in the U.S. energy sector now and for the next several years. The market potential for solar in enormous; illustratively, in the U.S. alone there are approximately 250,000 solar homes, yet there are over 70 million owner occupied homes in total with projections of roughly 1 million new homes to be built in 2013. With the costs of solar coming down and new financing tools available to consumers, the proposition for installing solar is increasingly compelling and this is not just the US phenomena but a global one. Escalating energy prices along with an increasing awareness of the environmental impact of burning fossil fuels will result in increasing global demand for alternative energy solutions including solar. What is also exciting to me is the fact that advanced features in addition to price are becoming more important considerations in the decision making process of the purchase of the solar system. Reliability, increased power generation, system performance, modular level monitoring for operations and maintenance, and the ability to provide data and analytics are beginning to influence purchase decisions. These features are core strength of Enphase. From inception our vision has been to build intelligent data rich microinverter systems while applying a high-tech semiconductor business model. Now with over 3.3 million units in the field, we are seeing validation of the value proposition offered by Enphase's microinverter system. In summary, the future of the solar industry holds great promise for Enphase and we believe we are in a position to be a clear winner when this promise manifests itself. Now with those comments, I will turn it over to Kris to go over the financial results for the first quarter.
Kris Sennesael: Thank you, Paul. First, I will start by providing some more detail on the financial results for the first quarter of 2013 and then I will turn to the business outlook for the second quarter. As a reminder the financial measures that I'm going to provide are on a non-GAAP basis unless otherwise noted. As Paul mentioned, total revenue for the first quarter was $45.6 million which is at the high end of our revenue guidance of $43 million to $46 million. This is an increase of 7% year-over-year, but if we normalize for the 1603 related revenue at the beginning of 2012, it is up 36% year-over-year. On a sequential basis, revenue was down 21% from the fourth quarter, which is in line with our normal seasonal pattern. During the first quarter of 2013, we shipped 315,000 microinverters or 68 megawatts. Approximately 85% of the revenue was in the United States and 15% outside of United States mainly in Canada, France, Benelux, UK and Italy. This is an increase over the fourth quarter of 2012 where revenue outside of US was roughly 10% of total revenue. Recently we have seen some improvements in those markets and the growth is starting to resume as those markets are stabilizing after the phased reductions in 2012 and as we continue to gain market share in those countries. Gross margin in the first quarter was 27%, an improvement of 510 basis points compared to the 21.9% in the first quarter of 2012. The gross margin is down 100 basis points from our record gross margin in the fourth quarter of 2012, mainly as a result of a reduction in volume during our seasonally slowest quarter of the year. However, we continue to make good progress with our ongoing cost reduction efforts and experienced a relative stable pricing environment for the Enphase microinverter systems during the first quarter of 2013. Operating expenses in the first quarter of 2013 were flat compared to the operating expenses in the fourth quarter of 2012 at $20.4 million as we continue to maintain tight control on our operating expenses. R&D came in at $8.5 million, sales and marketing at $6.3 million and G&A at $5.6 million. These non-GAAP operating expenses did not include $1.3 million in stock-based compensation expenses and $150,000 in severance costs. We ended the first quarter with $382 employees, which is the same level as at the end of 2012. Again, going forward, we will continue to focus on keeping our operating expenses as flat as possible and driving leverage in our business model. For the first quarter of 2013, net loss was $8.7 million or a loss of $0.21 per share. On a GAAP basis, the net loss was $10.4 million or $0.25 per share. Cash flow from operations during the first quarter of 2013 was as expected a negative $7 million, and net cash flow was negative $8.9 million which is in line with normal seasonal trends. As a result, the company exited the quarter with a total cash balance of $36.4 million. We did not drop on our $66 million debt facilities, but we did repay approximately $600,000 on our existing term debt. Accounts receivable at the end of the first quarter of 2013 were $24.9 million or 49 day sales outstanding, slightly up from the 44 days last quarter. The revenue for the first quarter was backend loaded with a seasonally weak January and February resulting in an increased DSO. Inventory turns are at six times, with inventory at the end of the first quarter at $22.3 million, slightly up from the $19.8 million at the end of the fourth quarter as we prepared for the ramp of the business into the second quarter. Capital expenditures during the first quarter were $1.7 million and depreciation and amortization was also $1.7 million. Now I would like to turn to our guidance for the second quarter of 2013. After seasonally slower first quarter, we expect strong sequential increase in our top line, with revenue for the second quarter to be in the range of $56 million to $60 million. At the midpoint of the guidance, this is up 27% sequentially. Also, at the midpoint of the guidance, this is up 4% year-over-year, but if we exclude approximately $19 million of 1603 related revenue during the second quarter of 2012, the midpoint of the guidance is up more than 50% on a year-over-year basis. To be fair if there was no 1603 grant expiration, some of the $19 million revenue would have been recognized during the second quarter of 2012, but it's really hard to estimate the exact amount. Regarding gross margin, we expect the gross margin to be within a range of 26% to 28%. We also expect the non-GAAP operating expenses to be roughly flat compared to the first quarter. And now, I will open the line for questions.
Operator: (Operator Instructions) And our first question comes from Sanjay Shrestha from Lazard. Your line is open.
Sanjay Shrestha - Lazard Capital Markets: Good, great gross margin here. First on, if I come to the gross margin, one big picture question in terms of what’s happening in the industry I guess. So, Paul, how do you sort of think about this recent acquisition that happened which seem like a pretty high EBITDA multiple on '13, so again suggesting the growth type acquisition rather than really anything else. How do you see that changing the overall industry dynamics and maybe even for -- with the one that actually is in the process of being required, does that even potentially end up slowing their focus on microinverter and so even making it better for you guys, can you talk about a bit, what’s your expectation, what does it mean for the industry and for you guys?
Paul Nahi: Sure. So I think it’s probably best to start off by indicating that the ABB’s interest, the company of the size and scale of ABB, their interest in solar I think is a validation that the solar industry is set to grow in a big way both domestically and internationally, and it takes companies like ABB to sort of to recognize this and validate it for the rest of the industry. In reference to the multiples and evaluations that are being seen today as a result of that, I think I’d leave that to investors to draw their own conclusions there. And I think it does validate and does recognize the potential for the solar market and for the companies that have the right business models that can generate positive sustainable cash flows and generate profitability through the growth of this industry.
Sanjay Shrestha - Lazard Capital Markets: Okay. So do you -- any comments on what do you think it probably means because these guys are going after the big ticket item and does this sort of potentially end up giving you even a better opportunity on the microinverter side as they sort of have to focus now on acquisition integration and things like that, any sense there.
Paul Nahi: It could, it’s very hard to predict the outcome of an acquisition. I think we've all seen them go well and some go not so well. I think importantly for Enphase, we are very focused on the execution of our current business model and our current plan. We've got new products in the pipeline that we are very excited about introducing both on the hardware and the software side. We are continuing to expand both domestically and internationally, and I think our success is really very dependent on our ability to continue the quality of execution that we've demonstrated to date.
Sanjay Shrestha - Lazard Capital Markets: Two quick questions for me guys; one in terms of the gross margin here in Q1 which is obviously pretty impressive, huge improvement year-over-year and the sequential decline from Q4 to Q1 was that all related to pricing or how should we think about that, right so 100 basis points decline sequentially was there anymore cost improvement versus what the pricing decline was or did the cost per lot go down on a sequential basis and can you comment on that a bit.
Kris Sennesael: Sure, and I will take that question here, we were definitely very pleased to have the gross margin coming in at 27% being down 100 basis points from our record gross margin. It was 28% at the fourth quarter and the main driver for that 100 basis points drop was the much lower volume that we experienced in the first quarter being the seasonally softer quarter. So from a pricing point of view we really experienced a relative stable pricing during the first quarter compared to other price level at the fourth quarter.
Sanjay Shrestha - Lazard Capital Markets: Final question for me guys, so in terms of Q2 you guys have given the guidance right but for the second half 2013 how should we think about that as to sort of the revenue ramp and if any qualitative comment you can provide on that would be very helpful market mix and how should we sort of think about the second half of ’13.
Paul Nahi: Sure well as you know we only guide to the current quarter. What I would do is perhaps direct your attention towards our historical numbers which definitely show an up tick in the Q3 and Q4 timeframe and that is not unique to Enphase. That is symptomatic I think of the entire industry and represents the seasonality associated with weather and the ease of installation.
Sanjay Shrestha - Lazard Capital Markets: Okay, so we should expect that (inaudible).
Operator: Our next question comes from Vishal Shah from distribute.
Vishal Shah - Deutsche Bank : The second quarter gross margin guidance midpoint is flat yet you know you are seeing nice volume growth. So is it all because of some pricing change in the second quarter or is there anything else going on.
Kris Sennesael: That's basically correct. As you know in 2012 we've experienced roughly 8% to 10% price reduction as we pass on some of our cost reductions to our customer and looking forward in 2013 there will be some price actions including some of the actions that we already took in the second quarter. But again given the price actions that we already took we do expect the gross margin to come in that 26% to 28% gross margin level for the second quarter which we are very pleased with that as well.
Vishal Shah - Deutsche Bank: Okay, so similar 8% to 10% price deduction for this year.
Kris Sennesael: We don't provide any specific guidance on the full year basis but historically it has been around 8% to 10%.
Vishal Shah - Deutsche Bank: Okay, that’s helpful and the mix of megawatts or revenues international versus U.S. you think it's going to be same sort of 8515 or are you going to slowly start seeing the international mix improve you know, to more like 20%-25%.
Paul Nahi: Well, clearly we've seen it already improve from 10% last quarter to 15% this quarter and I would say that we're very early in to our international expansion. As you know, we have offices in France, UK, Italy, Australia and we continue to expand in to new countries. So I think that as far as long term trend is concerned, we would fully expect the percentage of rest of world sales to continue to increase.
Vishal Shah - Deutsche Bank: Okay, great. One of the question just on the OpEx front. You mentioned you are going to keep your OpEx flat, talking about expansion internationally. So how are going to manage that? Are you trying to take some cost out in the U.S. or what are some of the other things you are doing and what percentage of your OpEx is related to some of these international markets. Thank you.
Paul Nahi: So, I will take the first part of that question. One of the things we have just mentioned is that we're changing our European infrastructure to more of a pan-European infrastructure to better leverage the existing resources we have. So in the past where we were more country focused, we are more now regionally focused. This allows us to leverage the existing resources we have without materially increasing or affecting the OpEx but allowing us to enter, yet again, more countries. We will continue to exercise this strategy going forward in Europe and in other parts of the world as well.
Kris Sennesael: And from an OpEx point of view, our OpEx U.S. versus international, reflects more or less the revenue split so that’s pretty inline of each other.
Paul Nahi: I will just finish this out by saying that we have said several times in the past that we had used 2011, 2012 to build out a significant infrastructure not just in the U.S. but globally, we are right now in the process of leveraging that infrastructure.
Operator: Thank you. Our next question comes from Andrew Hughes from Bank of America. Your line is open.
Andrew Hughes - Bank of America: One additional quick one on pricing you mentioned and we have all seen the stabilization module prices, I know you are passing some of the cost improvement along your customers, but are you seeing developers and distributors lean on you any more on the pricing front, now that module prices have cease the rate of decline or customer seeing in 2012?
Paul Nahi: We are not seeing anything different now that we have seen before. I think just in general, all of the constituents of a solar system, whether it's the module provider, the BOS, the inverter, even the installer have seen a trend towards lower pricing, in terms of the health of the industry I think that’s a very good thing. We continue to see what we have seen, nothing exceptional or current and we fully expect to be able to meet the demand for a slow and new ones reduction in ASPs overtime.
Andrew Hughes - Bank of America: Got you, and just one more on, in the press release you mentioned the extension of the Vivint partnership for another year, which is great. I was just wondering if you could talk generally about how those, if that’s a typical supply relationship how that works on a year-to-year contract and just generally how those relationships are progressing in the U.S. and may be abroad as well?
Paul Nahi: So without getting into the specifics of the Vivint deal sort of in general there are a broad away of agreements that we have with multiple different installers and PPA and lease providers. Vivint is a fantastic customer and we enjoy a solid relationship with them. It’s actually one where not only are they purchasing the microinverter them selves, but they are actually leveraging the light and software and OEM and for billing purposes also. We have more and more customers that are leveraging in [lighten] and our software to further integrate into their business models whether it is on the front end for installation, whether it is to help close a sale or whether it is on the back end to support operations and maintenance and of course we have as I mentioned the variety of different types of engagements, some more involving software than others, but I think the general value proposition of creating a simpler business model for the installer, well providing more energy and reliability for the owner continues to resonate.
Operator: (Operator Instructions) our next question comes from Pavel Molchanov from Raymond James. Your line is open.
Pavel Molchanov - Raymond James: First one on the competitive landscape but I think one of the earlier questions alluded to the recent M&A, but above and beyond that legacy players that you are seeing starting or accelerating shipment of microinverters and any start up that perhaps might be getting into the market place in the more meaningful way.
Paul Nahi: We haven't seen any significant change in the start-up environment, while there are some companies out there; none are providing any significant competition. There are some legacy players who have been actually selling and marketing very aggressively new products for them, microinverter for them, but there has been no real impact in the marketplace for us.
Pavel Molchanov - Raymond James: Okay. And I guess as we look at into the second half of the year given the diversification of your revenue mix as you mentioned into other geographies outside the US, are pricing strategies that you guys are following essentially on par with what you have traditionally done in the US or do you have to sell at a discount or offer rebates to encourage adoption overseas?
Paul Nahi: No, our pricing strategy overseas is very similar to what we do and how we do it in the US. We are not -- there's no fundamental change. Really what motivates adoption and what we have seen in the US, what we've seen in France, in Benelux and in multiple other regions is really more about training, training and getting people accustomed to doing business with a microinverter, teaching them how the software can help them to close a sale, showing them how the Enlighten software can help on the backend O&M and then showing them what it means, what a microinverter means to their current operations and how it can save the installer money and build a more profitable or more efficient business. That's really where we spent most of our time as we enter new countries. We have been doing that for quite some time now and continue to do that.
Pavel Molchanov - Raymond James: Last question for me. In 2013, will there be a new generation rolling out?
Paul Nahi: We have indicated that we are going to be introducing our fourth generation product in 2014. We are actually very excited about the launch. It’s a brilliant new product. In addition to that, we will be introducing new software in 2013 and of course our fifth generation is up and running in the lab, it’s en route and it will be introduced some time after that. I think what you are seeing is a very steady and consistent investment in research and development to ensure that we are always, that [employees] always has the latest, the greatest microinverter technology on the hardware front and software front as we are going to see more and more entrants try to compete in this phase.
Operator: Our next question comes from Colin Rusch from Northland Capital.
Colin Rusch - Northland Capital: Can you talk a little bit about the impact of that new product on demand in the second quarter? Have you seen any fluctuating for new products into the third or fourth quarter to an expert’s decision?
Paul Nahi: Sure. This is -- actually obviously as the fourth generation product, this is something we've done in the past which is to manage the introduction of a new product while we are currently selling an existing generation product. I think we understand what it takes. We know how to manage the process of introducing a new product. We do not believe that the introduction of our fourth generation product will adversely affect the sales of our third generation product. Clearly, the two will coexist for some time and we are managing that and developing plans for that as we speak, but we don't -- so we don't expect the transition to be sudden or dramatic, but we will be rolling out the new product in conjunction with the old then managing that transition over several quarters.
Colin Rusch - Northland Capital: And then just on the competitive front, obviously Power One warranty is different than what you've seen, are you having to work with any sort of rebates or manage expectations on warranty and/or right now and so making purchase decisions for choosing between the two products?
Paul Nahi: If I understand your question correctly [Colin] I think the answer is no. We're not doing anything different as a result of anybody else’s competitive product. Our warranty is a reflection of the quality we've built into the product, a quality that’s taken five years of building and selling microinverters to develop, but we believe that a very important part of our value proposition and will continue to emphasize it. At the same time, we think that as we move forward, it's not the warranty while an important element of the overall value proposition will be just a small portion of the total system value, which includes the quality of microinverter itself and all the system level software.
Colin Rusch - Northland Capital: (Inaudible) implemented, you know, is there any sort of (inaudible) hanging out there?
Paul Nahi: Colin, I am sorry you broke up during the first part of the question. Could you repeat it please?
Colin Rusch - Northland Capital: Sure. Are you seeing any overhead from the 1603 buying from last year? Is there any remaining inventory out in the market that still needs to be work through?
Kris Sennesael: There is still some 1603 related inventory out there; probably more than half has been sold through. Our customers continue to use those 1603 units they blend them in, we have new purchases that they make and we expect our process to continue for the next couple of quarters maybe even like the next whatever four, six quarters out there.
Operator: Thank you. I show no further questions and would like to turn the conference back to Mr. Paul Nahi for closing remarks.
Paul Nahi : Thank you. So we are also a great start for 2013, with the close of the first quarter, we now have five quarters in the book as a public company. During this time, we have established a track record of executing our strategy and delivering results as we strive to grow the company, provide industry leading products and services, and create shareholder value. Thanks everyone for joining us today. And we look forward to speaking with you again next quarter.
Operator: Ladies and gentlemen thank you for your participation in today’s conference. This does conclude the program. And you may all disconnect at this time.